Operator: Good day everyone and welcome to the Amdocs Third Quarter 2011 Earnings Release Conference Call. Today’s call is being recorded and webcast. At this time, I will turn the conference over to Liz Grausam, Vice President of Investor Relations for Amdocs. Please go ahead.
Liz Grausam: Thank you Jay. Before we begin, I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company’s management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effect of such events, enables management and investors to consistently analyze the critical components and results of operations of the company’s business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures including reconciliations of these measures, we refer you to today’s earnings release, which will also be furnished to the SEC on Form 6K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include but are not limited to the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company’s filings with the Securities & Exchange Commission including in our annual report on Form 20F for the fiscal year ended September 30, 2010 as filed on December 7, 2010 and in our quarterly 6K filings on February 8, 2011 and May 11, 2011. Amdocs may elect to update these forward-looking statements at some point in the future; however, the company specifically disclaims any obligation to do so. Participating on the call today are Eli Gelman, President and Chief Executive Officer of Amdocs Management Limited and Tamar Rapaport-Dagim, Chief Financial Officer. Following our prepared comments, we’ll open the call for Q&A. With that, let me turn the call over to Eli Gelman.
Eli Gelman: Thank you Liz and good evening to everybody on the call. Today we are pleased to announce that our third fiscal quarter results were solid and within our guidance ranges. This performance demonstrates continued sequential growth on our topline and modest margin improvement. During the third quarter, we continued to see good business momentum on a global basis. The emerging markets in Europe were relatively standout this quarter. So, let me provide some color on each one of them. Our position in the emerging market is continuously getting stronger. Carriers in Asia and Latin America are shifting more attention and higher investments towards the Customer Experience as they increasingly compete for subscriber loyalty. Given our own unique position and track record in implementing Customer Experience solutions, we are winning influential deals with the largest carriers in the emerging markets. Equally important, we are winning many follow-on business within our existing customer base in the emerging markets. As an example, shortly following the close of quarter three, we signed a significant CRM transformation deal with a major wireless operator in Southeast Asia. This contract marks an expansion of the operator’s overall business modernization program, which was launched last year with a Billing Transformation Project, also provided by Amdocs. Bending and expending long-time relationship, we talked to the service providers who is t the cornerstone of Amdocs business model. We are encouraged to find out that carriers in the emerging markets, like their counterparts in the developed economies, are adopting the same approach. Now, turning to Europe, we enhanced our senior leadership team during 2009 in an effort to better align our strategy with the needs of the European operators. We believe this investment have significantly improved our competitive position in this market. We are also seeing better acceptance of the business suite, product offering in Europe, which is another cornerstone of Amdocs business philosophy. Lastly, we are working more closely with System Integrator Partners, a common practice in the European market. As a result while we are still at the initial stages of making progress, we now see Europe as a contributor to our growth. On our strategic front, during the quarter, we further crystallized our views around future of the customer experience and data modulation as part of our annual planning process. As you may recall we had briefly introduced these two strategic initiatives at our analyst day in February. Specific to our strategy on data modulation, we announced the pending acquisition of Bridgewater during the third quarter. By integrating Bridgewater’s network-facing abilities into our current CES product portfolio Amdocs it will be better able to assist our customers in connecting network intelligence with the subscribers, data experience. The combined solution will able service providers to create much more flexible and creative data pricing plan that can expand across multiple devices, multiple people and multiple lines of services. We look forward to closing the acquisition later on this quarter and we welcome our new colleagues from Bridgewater. We believe we are now launching one of the most innovative data experience offering in the market. Turning to our share buyback, we continue to repurchase shares demonstrating our confidence in the future of Amdocs and our commitment to enhancing shareholder value. Since we resumed our buyback activities in April 2010, we have repurchased roughly 14% of our shares outstanding. I will conclude my remarks on our business by saying that we are encouraged by our result in the third quarter as well as our continued progress on many internal and customer facing initiatives that extend well beyond our [optimism]. We are remain excited about the direction we are taking the company. On a final note, I would like to make few comments about changes to the Board of Directors. First, Bruce Anderson had decided to retire as our Chairman of the Board at the end of the current fiscal year. I would like to take this opportunity and thank Bruce for his many years of exceptional contribution to Amdocs. Bruce is ready this time for re-election for one additional time as an independent director to help manage the transition of leadership I am pleased to announce that Rob Minicucci, has been selected to succeed Bruce as Chairman. Like Bruce, Rob joined the Board of Directors prior to our IPO and has served as a Director for the past 14 years. We believe the transition would be seamless given Rob’s the long-term service and vast knowledge of the company. I am looking forward to continue working with Rob in his new capacity. On a more softer note, I am truly saddened by the passing of our long-time director Charles Foster. Charles served on our Board for the past 10 years after more than 30 years of service as an Operational Executive at SBC and later AT&T. His contribution to Amdocs were significant indeed, b he was much more than a director. Charles was a mentor and true friend of mine, who would be greatly missed. I would like to end my remarks with a humble and sincere condolences to his family and friends. On a soft term back to our results, I will now turn the call over to Tamar.
Tamar Rapaport-Dagim: Thank you, Eli. Third quarter revenue of $801 million was within our guidance range of $792 million to $805 million with foreign currency fluctuations providing an approximate $5 million benefit with sequential revenue as compared to the second quarter of 2012. Our fiscal third quarter non-GAAP operating margin was 16.4%, up 20 basis points sequentially from the second fiscal quarter and within our guidance range of 16% to 17%. Non-GAAP EPS was 61% in Q3 compared to our guidance range of 57% to 63%. Below the operating line net interest and other expenses slightly negative this quarter. For the forward looking purposes we continue to expect that net interest and other expense may be negative in the range of few million dollars quarterly primarily due to foreign currency fluctuations. Free cash flow was $125 million in Q3. This was comprised of cash flow from operations of approximately $150 million and $25 million in net capital expenditures and others. DSO of 67 days increased quarter-over-quarter by one day. Total deferred revenue both short and long term together was down $28 million sequentially while total unbilled receivables were up $27 million compared to the second quarter of 2011. The change in deferred revenue is within our normal fluctuations we expect in this line item. That being in bills receivable was primarily the result of a managed services contract resigning differences between delivery milestones. We expect the trend unbilled receivables to be reverse in Q4. Turning to our cash position, our cash balances at the end of third quarter was approximately $1.1 billion. A twelve months backlog, which includes anticipated revenue related to contract estimated revenue for managed service contracts, letters of intent, maintenance and estimated ongoing support activities was $2.62 billion at the end of the third quarter up $30 million sequentially. During the third quarter, we repurchased $157 million of our ordinary shares pursuant to our authorized share buyback program. As of June 30th, we had approximately $880 million remaining outstanding under our current $1 billion authorization which extends to February 2013. Looking forward, we expect revenue to be within the range of $800 million to $815 million for the fourth fiscal quarter of 2011. In this guidance, we have not assumed the significant foreign currency impact of sequential revenue positively or negatively. We anticipate our non-GAAP operating margin in the fourth quarter to continue to be within the range of 16% to 17%. Given the current demand environment we see good opportunities to continue investing in the business, but still expect the general trends towards modest and gradual margin improvement over the coming quarters, but not necessarily every quarter. We anticipate that our non-GAAP tax rate will be in the range of 13% to 15% and we expect Q4 non-GAAP EPS to be in the range of $0.58 to $0.64. Incorporated in these views is an expected average diluted share count of roughly 183 million shares in Q4 and the likelihood of negative net interest and other expense were due to effective foreign change fluctuations. We excluded the impact of incremental future share buyback activity during the fourth quarter as the level of activity will depend on the market conditions. Additionally, our guidance does not include the impact of our pending acquisition of Bridgewater Systems. We continue to expect to close the acquisition during the fourth quarter and we’ll share with you the expected financial impact to Amdocs in our fourth quarter call in November. With that, we can turn it back to the operator to begin our question and answer session.
Operator: (Operator Instructions) We will go first to Tom Roderick with Stifel Nicolaus.
Tom Roderick - Stifel Nicolaus: Hey guys good afternoon. So Eli and Tamar let me start with just the first question on profitability and for the margin structure and I guess the question is less about this quarter but more about how your thinking has evolved as the year has progressed. We’ve seen a gradual improvement off of the lows, but as the world out there seems to get a little bit better has your thinking changed at all with respect to how many inputs you want to put into the model? In other words, are you happy to let margins just kind of expand very gradually and invest more aggressively in the business and if you do that do you think that we can kind of look out to next year and see sort of an accelerating growth rate on the top-line, but a very marginal sort of margin expansion? Thanks.
Tamar Rapaport-Dagim: The way we look at it is that we don't want to measure itself by basis points or looking for the short-term view of what’s the expected margin expansion, but we’re taking a longer-term view of what's the potential in the business. We are seeing very good results of our investments in terms of penetration into emerging markets. They work in terms of execution, that we've done in Europe is bringing the results and definitely the investments we've made into the company in terms of the investment in people, in the knowledge level, in the training and so forth. So we want to continue doing that at the same time as we said we do believe we can reinvest into the business and gradually, surely but gradually improve margins not necessarily every quarter, but definitely that's a trend as well as focusing on the continuation of the share repurchase program to continue to create benefit to the EPS line in conjunction to everything we talked about.
Tom Roderick - Stifel Nicolaus: Okay. Let me take a step back and just kind of ask a higher level question as it relates to Bridgewater and I am not sure where you can talk about there yet. If you can share any thoughts as to what this sort of quarterly revenue impact may look like when you acquired that that would be fantastic. But at a high level, I guess, I am interested in the thinking behind the Bridgewater deal and that the technology itself has sort of seem to expose the model to more of the mobile data traffic at the edges of the network. So should we think of the Bridgewater deal as a first step in a more comprehensive strategy to get closer to the device and in the mobile data traffic that’s heading to those various connected devices or is this more of a one-off that just sort of represented a good opportunity at some key carriers for you?
Eli Gelman: Tom thanks for the question. I don’t like to qualify the one-off but it’s not the series of acquisitions or getting closer to the devices that we are planning. We share with you that we look at almost everything through the customer experience eyes and as we see the data mobile picking up dramatically and the carriers struggling with coming up to replace, it is much as we can model with value based pricing. We definitely saw that acquiring a company with a very solid background on real-time data base on the network on [super-lay] which is a syndication authorization and on the policy and rule based management, which are all real-time engines and combining it to our rating real-time engines would actually create a unique offering that can help the carriers to monetize their investment in the network. So that’s – in this respect, I don’t think we need to add more; if the technology that was – it probably would have taken us few years to develop ourselves. So that’s definitely significant improvement in terms of the timing and knowledge base that they are getting. It’s a very solid company, very solid engineers. I don’t think that you should read into it that we are getting closer to the devices, anything with the commodity, we don’t want to do. So even what is called DPI, Deep Packet Inspection which is the next layer down most likely we’ll never get to this area because we can team up and buy workers from Cisco and other people. So it’s not a direction, but it’s a very strategic move that we have done along the strategy that we shared with you honestly.
Operator: We will go next to Jason Kupferberg with Jefferies. 
Aman Singh - Jefferies: Hey guys, this is [Aman Singh] filling in for Jason Kupferberg. Actually just a quick question on the emerging markets; I know you guys talked about the progress over there but where – if you can provide some color on, where do we stand on the longer-term transition from being primarily a prepaid market model to becoming more of a postpaid model?
Eli Gelman: Aman, I would say that these exactly the transition we are talking about, it’s not that prepaid is going away, but in the emerging markets what is to be happened recently a land grab strategy of all the carriers and we see a major change to postpaid and to customer experience. You can see it in Asia Pacific; you can see it in Latin America and South America and in other places. So I would say that you will keep on seeing prepaid and we do prepaid as well, but we never saw prepaid as a standalone system. There is no value on that. It’s simple and not very exciting systems and all of them have it. But the combination of prepaid and postpaid convergence all the postpaid customers are the major reason as why the carriers in the emerging markets are investing much more in customer experience systems and then you know luckily we wrote the book on customer experience, so that it was.
Aman Singh - Jefferies: Alright. Thank you.
Eli Gelman: Thank you.
Operator: We’ll go next to Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar - Citigroup: Thanks. Good quarter guys.
Eli Gelman: Thank you, Ashwin.
Ashwin Shirvaikar - Citigroup: My first question is its very unusual having for you to focus so much on emerging markets in Europe in your comment. And so my question is with regards to the sustainability of the demand in emerging markets the new generation of contracts you are signing or have in your pipeline. Are these comparable size of profitability to the corporate average, can you comment on that?
Eli Gelman: Yes Ashwin. I think, I can try to give some more color on this. You are right, but every time we try to focus on the stuff that can help you understand the company relevant and we had for the last two quarters, we have a very good momentum in the emerging markets and that’s why we give more color about this and this quarter we had a 9% sequential growth in Europe which is also exceptionally high. I don’t think it is sustainable at this rate, but it is something that we see not as a pure luck, its systematic result of the systematic approach that we have taken in the last several quarters. And then in terms of the business in Europe, again not necessarily have recorded on, we are having new wins and new growth, but we see Europe is overall as a growth engine for the company now in opposed to a year or maybe two years ago when we had the slowdown there. In terms of the emerging markets, we saw it in the last quarters, we shared it with you down then, we can still see very strong pipeline, very good deals that we are making in emerging markets of all kinds. Many services, CRM, billing, OSS and many others. In terms of the profile of this, the normal profile, in other words, some of them are small, some of them are medium, some of them are large. Profitability wise, I would say it is not necessarily has to do with the geography. It more has to do with the fact that whether we are in a penetration mode doing the first project, in any time we have new transformation of projects. That’s obviously the first few is the risky one, entails of software development because that’s where you have all the development and all that execution. And later on it stabilized. So other than the fact that we’re talking about more penetration projects in some cases and I believe that overtime growth wise and EBIT wise as well, it will contribute to the company as other regions. 
Ashwin Shirvaikar - Citigroup: And with regards to the North American client base and North American demand, you know because of significant pending M&A, is that having any kind of an impact near terms on demand that might clear by the later part of this year or early next year turning to a lot of pent-up demand for your services. 
Eli Gelman:
 : We think that it will do good for us and I don’t expect something really significant to come out of it, but if they will continue to consolidate in North America, we’ll have less logos, but bigger businesses. So we don’t see right now these measures as a risk to us because for a very clear reason because we are the number one supplier to the potential acquirers in North America, being in Canada, being in the US and even in some other places.
Operator: Our next question comes from Julio Quinteros with Goldman Sachs.
Julio Quinteros - Goldman Sachs: A couple of questions. I guess the improvement out of the Europe just curious, how much of that and obviously you mentioned a couple of factor in terms of improved execution and also senior leadership changes. So I'm just wondering is this trend also a function of you taking share away from competitors or it is just kind of more penetration out of existing customers?
Eli Gelman: The reason usually, it may that we take business away from competitors and Europe is not an exception. Emerging market is not the exception. You know, there are competitors out there and we’re just doing a better job than they do.
Julio Quinteros - Goldman Sachs: And then maybe as a follow-up, I am sorry I missed the first part of the call, but have you provided any update in terms of your cable customers, how are you tracking on that vertical and if there's anything changing in terms of customer spending pattern.
Eli Gelman: No actually you did not miss this part, but I will be glad to share with you that we are making very good progress on the execution, on the cable and the MSO space, as we shared with you like three quarters ago or so. We had some changes in some of this very complex transformation projects, but we are tracking very well on the execution right now. In terms of the overall transformation rate, you know we have business in the pipeline, we are making progress, we have new projects. If we are talking about huge transformation projects, you will have to wait with us a little bit longer.
Operator: Our next question comes from Daniel Meron with RBC Capital Markets.
Daniel Meron - RBC Capital Markets: So if you can provide us with a little bit more color on what you are seeing right now as far as the OSHA segment, maybe I missed it on your trade remarks, but you can just give us an update on that front?
Eli Gelman: What we are seeing now is what we have seen, you know in the last quarter too is picking up of demand, not necessarily of signed contracts. We defined OSS as a growth engine for us, but we shared with you that we think that we can do better and we have some progress in following the orders that made effect. If I can think about in CALA, in Europe, in North America, in some other place. So, we see progress on the OSS and we also try not to offer some of our OSS projects as mini services or maybe that will be a new stream in the future. Altogether, a healthy pipeline and good progress. We have really excellent products there. So, we believe we can do better on this sales front as well.
Daniel Meron - RBC Capital Markets: Thanks Eli and just on the follow-up. We did get a lot of positive feedback from a lot of our contacts on the Bridgewater acquisition. How do you think that this acquisition may tie into your OSS offering. It seems to me that, it’s going to help a little bit tying the knot between your BSS and OSS segment that you offer. And also if you were to think of long-term view of OSS, how much of your business you think is comprised of say, next three years or five years?
Eli Gelman: In terms of the Bridgewater, Bridgewater acquisition will help us enhancing that has to do with the network. So, OSS is one of them. But we will also connect it obviously to the charging, real time charging and the BSS offering and we actually have even plans to connect it to some of the customer management, but that’s in a later stage. So, yes, it will help some of our positioning and offering in the OSS. In terms of the long-term view on the OSS, I am afraid I cannot share with you right now this specific segment. But we are aiming for growth there as well.
Operator: Our next question comes from Lauren Choi with JPMorgan.
Lauren Choi - JPMorgan: Just wanted to get your thoughts on, I guess you know you guys have given this 4% to 6% longer-term growth on the top line and for 2011 obviously spent on the higher end of that. How do you feel about this general business going forward, has it been better than you expected and do you think it is sustainable?’
Eli Gelman: As a matter of fact the reason why we are giving you know, some kind of a guidance for the longer terms because we try to help you, you know assist the business going forward. Yes, we have been doing better in 2011 and 4 to 6 probably it would be like the mid-point, this guidance probably will bring us at 6.4 something. And Bridgewater will actually will help us next year as well. But to give you a better guidance for 2012, we will have to wait until next quarter because we will share with you guidance for next year. And altogether the fact that we are growing and we are growing profitably and we are executing well on our plans and we see good traction on our pipeline and modest improvement of the margins. Yes, we, feel good about the business.
Tamar Rapaport-Dagim: One thing to add on that is that we did enjoy in the last few quarters some tailwind coming from foreign currency, when we guide for the next three years for 4% to 6%, that was assuming no impact, no negative loan policy coming from FX. It was more in terms of growth in real terms.
Lauren Choi - JPMorgan: Just next question is you know, as I guess the idea was like these large transformational deals have not been around or as large as once it was. Do you see anything that is kind of in the pipeline that’s a very major in the next year so?
Eli Gelman: You will have to define major but we see major significant deals that….
Lauren Choi - JPMorgan: Are more like bring transformation or type of things like that.
Tamar Rapaport-Dagim: I think where the main difference probably versus the past is not as really customers will come and sign upfront for a $300 million deal, going to the board and approving this four years transformation upfront.
Eli Gelman: But three deals of 100 is okay too.
Tamar Rapaport-Dagim: Exactly, many times you would see a gradual transformation with a way to a billing at the start and I just gave an example, so they were the transformation started with a billing deal now following up a with the CRM decision and hopefully that can influence to additional components so far product with and definitely one of the key decision point in the decision from their point of view start transformation with Amdocs is a actually a fact we can actually deliver on the best of a suite overall and we positive for the long-term. So its not necessary that they commit upfront but definitely we see that customers going through meaningful transformations.
Operator: (Operator Instruction) We will go next to Arvind Ramnani with UBS.
Arvind Ramnani - UBS: Hi, thanks for taking my question. You know if you can provide some color on your strength in Europe. Some of the other companies have been coming are seeing, you know, Europe is somewhat soft. Do you attribute some of this strength to specific clients or specific solutions. Can provide some color on your Europe, that would be great?
Eli Gelman: Thank you Arvind. No, I don’t think its specific, its not to specific client we see life line and then business from different clients and as a matter of fact not some of them are on office and some of them are CRM, some of them are billing, some in services. Now we see different demand from different angles. Again we do not expect sustainable growth at the current rate but we think overall Europe may turn to be a good growth enterprise. 
Arvind Ramnani - UBS: Just one more question, which of the emerging market offers the most potential reveue opportunities over the next 12 to 24 months and also would you expect this to come more in the form of project- work or managed services?
Eli Gelman: In terms of demand we provide growth, we kind of break the work into three pieces, the developed APAC, the emerging South East Asia and color. And we believe that the growth will come from all three of them. And in terms of managed services of delivery I would like to think both, volume delivery more in the begging and managed services too. And we actually start offering managed services in the emerging markets and we have some initial success. So we do not take extra measures in the emerging markets at all.
Tamar Rapaport-Dagim: The typical cycle of relationship with the customer will start with the decision to go for transformation and then building the relationship with the customer and actually showing the customer the quality of the work and deliverables we get into the discussion and managed services is something that can work in parallel but they usually start from discussion around transformation of projects.
Operator: Our next question comes from Scott Sutherland with Wedbush Securities.
Unidentified Analyst: Thank you. This is [Al] speaking in for Scott. Two quick questions; number one, in the first few weeks of fiscal Q4, are you seeing any kind of shift in sentiment on spending and you don’t have to talk about in size, but generally have you seen any kind of share?
Eli Gelman: Shifts, maybe can you elaborate shifts from where to where?
Unidentified Analyst: Sure. So in terms of like in generally from a carrier spending standpoint, have you seen any difference versus you know – close of you know fiscal Q3 to the beginning of (inaudible) in fiscal Q4, have you seen any kind of shift in sentiment positive or negative?
Eli Gelman: No, not anything that is significant enough to mention, no.
Unidentified Analyst: Okay. And the second question was I realized you’re not giving any color Bridgewater today, but obviously you know there is going to be a lot of cross-selling opportunities. I am thinking when you had announce acquisition you probably had mentioned its likely going to be neutral for non-GAAP EPS for fiscal 2012; is that where the keys or do you think that might become offset?
Tamar Rapaport-Dagim: We still believe this is the case although we go – we will go through the closing; we will go and scrutinize the number, we’ll apply the purchase accounting and we will come back if we have any update around that. Apparently, that’s obvious.
Eli Gelman: And also maybe I would like to add a comment to add some color. The Bridgewater deal clipped up until now were identified in relatively small deals and we believe that we will be able overtime to package this product as an augmentation to our product offering and on top of it to add some services and that overtime we will be able to get larger deals and more meaningful ones. So you have to keep it in mind when we are talking about the impact of Bridgewater in terms of revenue per se; strategic-wise we believe it would be prudent to be a very good thing for our shareholders.
Operator: Our next question comes from Shyam Patil with Raymond James & Associates.
Shyam Patil - Raymond James & Associates: Hi guys. On the managed services side it looks like the growth there's been in the mid to high single digit so far this year. Could you just talk about how that compares to your expectations and kind of what’s the right way to think about the growth trajectory for that business going forward?
Tamar Rapaport-Dagim: We spoke about the fact that in emerging markets looking on a year-to-year basis is going to – sorry (inaudible) I am sorry I misheard him. So regarding managed services we continue to see managed services as a very important part of the business model that we provide in terms of looking the numbers. Sometimes there were three quarters of flat, sometimes there were in a slight reduction given the discretionary spending around those deals. And then we would finally see an up-tick with maybe a large scale coming in. So we are less concerned of tracking the sequential trends, but looking on the longer-term back to here, and overall we feel that the services should continue to be a meaningful part of how we sell in the differentiation that we can provide the competitive environment that we live in.
Shyam Patil - Raymond James & Associates: Okay great and then just a follow-up. What was the year-over-year revenue growth when you adjust for OpEx and what kind of impact did OpEx have on your revenue relative to what you are expecting when you provided guidance? Thank you.
Tamar Rapaport-Dagim: When we provided guidance, we assumed there will be a minor impact of the FX. And since then, as we’ve seem, for the last few quarters we have seen positive tailwind coming from the FX. So, overall, if I remember correctly, it’s more than 1% already from the year-over-year basis. But I will look at it and get back with a clear answer on that.
Operator: Our next question comes from Will Power with Robert Baird.
Will Power - Robert Baird: I just have a couple of questions. Maybe just, one quick follow-up on the Bridgewater acquisition. I mean do you feel pretty good now with regard to policy management in the like, once you get that integrated or do you think there are any other tucking acquisitions you might need to do to get where you need to be to help the carriers with tier pricing and the new data initiatives and what not?
Eli Gelman: It’s more than that we feel comfortable. We are not after the, you know, point solution on policy management. That’s something we could have achieved in other ways. And this is a relatively small piece of the overall picture there. The number one issue that carriers have right now is that they can to a certain level, at the network level, decide about certain policies in a limited way but 0:01:34.5 transaction. But if you want to apply policy, for example, for the whole family, allowance for a family for example or if you want to have a policy across devices, you have an iPad, an iPhone and an IPTV. And you want to share something in between them. These are not accepted, not impossible by any carriers today and the old strategy that we are coming up with is to solve the broader problem. So, it’s a generic rule base on top of the DPI level connected to the BSS system, the whole customer experience system, all the way to the profile of the customer and the different price band and also stuff that you cannot imitate at that top level. So this connection will allow us to offer a unique proposition that will also be available across devices and across customers and line of businesses and (inaudible) which is a very different proposition.
Will Power - Robert Baird: And how long do you think it will take to fully integrate Bridgewater to bring that more robust solution to the carriers?
Eli Gelman: Well, we actually, before the acquisition we started working with them on the engineering site. So we can accelerate some of it, some proposition would be very quick and probably future releases will include even a better integration. So, but I don’t think it measures in months, not in quarters.
Operator: And that does conclude our question and answer session. I would like to turn the conference back over to Elizabeth Grausam for additional or closing remarks.
Elizabeth Grausam: Thank you all very much for joining us and have a good evening.